Operator: Thank you for standing by. This is the conference operator. Welcome to the Great-West Lifeco Second Quarter 2020 Results Conference Call. As a reminder all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Mr. Paul Mahon, President and CEO of Great-West Lifeco. Please go ahead.
Paul Mahon: Thanks, Ariel. Good afternoon, and welcome to Great-West Lifeco's second quarter 2020 conference call. I hope your families are safe, healthy, and enjoying, at least in part, this highly unusual summer that we're all experiencing. Before we begin, I'd like to once again extend my deep thanks to the health care and essential workers. Their courage, stamina and resilience are truly inspiring, and our thoughts are with them as they care for our communities throughout this pandemic. And to our advisers and employees, you continue to make us proud as you work remotely and show up every day with professionalism, positivity and focus on serving our clients. Your guidance and support play a substantial role in ensuring our clients can better weather any pandemic-related financial and personal challenges. Joining me on today's call is Garry MacNicholas, Executive Vice President and Chief Financial Officer. Garry and I will deliver today's formal presentation. Also joining us on the call and available to answer your questions are David Harney, President and Chief Operating Officer, Europe; Arshil Jamal, President and Group Head, Strategy, Investment, Reinsurance and Corporate Development; Jeff Macoun, President and Chief Operating Officer, Canada; Ed Murphy, President and Chief Executive Officer of Empower Retirement; and Bob Reynolds, President and Chief Executive Officer, Putnam Investments. Before we start, I'll draw your attention to our cautionary notes regarding forward-looking information and non-IFRS financial measures on Slide 2. These cautionary notes will also apply to today's discussion and the presentation materials. Moving to Slide 4, you'll see a high-level summary of the key themes that we're going to cover today. To start, we reported a very strong quarter, with base earnings up 13% to $706 million. Net earnings of $863 million were up 88% year-over-year. While this strong result benefited from the significant market recovery in the second quarter, it also reflects our resilient and diversified business model, our strong risk management disciplines and our high-quality investment portfolio. We will continue to benefit from these strengths as the economic impacts of the COVID-19 pandemic continue to play out. Across our operations, we've taken steps to support our customers, advisers, communities and staff as they face the challenges presented by this pandemic. And we're working to ensure our actions continue to align with the significant steps taken by governments to support individuals, businesses and economies. While we've been acutely focused on managing risks, addressing shareholder – stakeholder challenges and serving clients to pre-COVID standards, we've also been successful in executing key strategic initiatives during this pandemic. A compelling example is Empower's acquisition in June of Personal Capital, a fast-growing U.S. digital hybrid wealth manager. Yesterday, Irish Life completed the sale of IPSI, a subsidiary whose principal activity is providing outsourced admin services for life insurance companies. And last night, we announced the sale of GLC Asset Management to IGM Financial, a transaction which will help strengthen our Canadian wealth strategy and give us access to best-in-class investment management capabilities at Mackenzie. I'll elaborate more on this later. We'll turn to Slide 5 for an overview of the second quarter results. Our second quarter results rebounded strongly, with base EPS of $0.76, up 13% year-over-year. The excellent performance can be attributed to strong investment gains, including seed capital, and robust results in reinsurance paired with limited in-quarter financial impacts from COVID-19. Net earnings of $0.93 per share were up 90% year-over-year, in part due to a loss on the sale of the U.S. individual markets business in the second quarter of 2019. Excluding that loss, net earnings per share increased 33% year over year, reflecting favorable basis changes and market-related impacts driven by equity market recoveries in quarter. Turning to slides 6 and 7, I'll provide an update on COVID-19 business impacts in Q2 and provide color on our near-term outlook. I'd like to acknowledge that although we've seen improvements in several jurisdictions, the pandemic remains fluid with some countries reintroducing stricter measures, As such, we're keeping a close watch on the situation, and the majority of our 24,000 staff globally continue to work remotely. Across Lifeco, fee income was depressed by lower average asset levels due to the market declines combined with the slowdown in business activity. Expectations for fee income going forward will depend on future market movements and levels of business activity. While we saw mortality increase across our businesses, the balanced nature of our insurance and longevity book greatly reduced the financial impact. Overall, we continue to expect limited financial impact from increased COVID-related mortality, given the age demographic and diversification of our life and annuity liabilities. Looking across geographies, the locking down of businesses and economies significantly reduced market activity and sales in the second quarter. As lockdown measures relax, we expect activity to resume, and we've already seen some improvements in June and July. In Canada, health and dental claims are approaching normal levels, and as a result, premium reductions were phased out in July. The reduction in sales we've seen in some businesses was mitigated to some degree by stability of our in-force books. A combination of reduced market activity and government support programs have led to fewer planned terminations and greater client retention in our group businesses in Canada, Europe and at Empower in the U.S. At Empower, customers continue to stay invested. Only a modest number of clients accessed financial hardship loans, and demand for these loans is expected to be stable. Empower has also been enjoying a significant number of virtual sales wins, with sales opportunities approaching pre-pandemic levels. Outflows that Putnam experienced in Q1 slowed by mid-April, with positive net flows for the remainder of the quarter. Over 80% of the Q1 seed capital unrealized losses were recovered in Q2 due to market movements. In Europe, we've experienced good persistency across all books, with low take-up of customer acquisition – accommodation measures. Our equity release mortgage business in the U.K., which had been temporarily disrupted by lack of access to valuations, is returning to normal. And residential property values in the U.K. are proving resilient thus far. Finally, I'd like to note that our reinsurance business continues its strong performance. Q2 was a record quarter, and its robust business pipeline remains intact. Please turn to Slide 8. Last quarter, we reviewed our derisking actions for our invested assets portfolio since the financial crisis. Today, we'll focus on 2 areas that are garnering attention in this environment: corporate bond downgrades; and mortgage and rent deferrals. First, we'll look at the bond portfolio. At approximately $170 billion, it represents 69% of our invested assets. The portfolio is diversified and of high-quality, with 99% of bonds investment-grade and 79% rated A or higher. To date, we've seen limited corporate bond downgrades within the portfolio. The negative earnings impact from these downgrades was $18 million in the quarter, similar to Q1 this year. We expect the downgrade cycle to continue over the medium term, but believe we're well positioned given our book's high quality. Turning to our investment property portfolio. Economic stresses have put pressure on businesses of all sizes. As such, we've received a modest number of requests for mortgage and rent payment deferrals. To put this in perspective, we've approved CAD 1.7 million in deferrals on commercial mortgages and CAD 5.2 million in rent repayment deferrals. We'll continue to monitor our asset book, particularly as fiscal stimulus measures subside. Finally, turning to our U.K. property-related portfolio, investment related losses were minimal in the quarter. Looking forward, we expect the economic dislocation will continue, but we expect corporate bond downgrades and defaults resulting from the current credit downturn to continue to be manageable in the context of our total invested assets. Please turn to Slide 9. Across Lifeco, sales were up 10% year-over-year. As expected, we observed muted sales activity in some products and markets owing to the pandemic. Conversely, this was balanced by fewer terminations, higher net cash flows and strong retention in group businesses. In Canada, our individual insurance sales held up well due to a robust new business pipeline. Additionally, we saw increased customer adoption of digital tools, such as our online life insurance application, SimpleProtect. Moving to the U.S., Putnam sales increased by approximately $6 billion year-over-year with institutional sales up $5 billion. This was partially offset by lower Empower sales across all plan sizes due to reduced market activity. In Europe, sales were flat over Q2 2019. This can be attributed to lower bulk and individual annuity sales in the U.K. In contrast, Ireland saw higher fund management sales compared to Q2 2019. Please turn to Slide 10. Overall, Lifeco fees were down 7% year-over-year, or 5% excluding those Q2 2019 fees related to the sold U.S. individual markets business. In Canada, the decline in fee income was largely due to a reduction in ASO fees relating to lower claims volumes. Although average Canadian AUM was down year-over-year due to market levels, it was muted by positive net cash flows given our resilient business model. Turning to the U.S. Fees remained flat year-over-year at Empower, while Putnam saw a reduction in fees due to lower average AUM. In Europe, fees were lower due to the sale of the Scottish Friendly business in the U.K. and a new reinsurance treaty in Ireland. Next, on Slide 11, we'll look at expenses. Lifeco operating expenses were up 3% year-over-year, reflecting expense discipline company-wide as well as strong business growth and transaction costs in reinsurance. Strategic investments continue in Canada and across Europe, while travel and training expenses were lower due to COVID-19 lockdowns. Now I'll turn the call over to Garry to review financial highlights. Garry?
Garry MacNicholas: Thank you, Paul. Starting with Slide 13. Base EPS was $0.76, up 13% year-over-year, driven by strong base earnings growth in all 4 segments. Net earnings per share was $0.93 with the additional contribution from actuarial assumption changes and other market-related impacts on liabilities. Last year's results included a loss recorded on the sale of the U.S. individual markets business, and excluding that, net earnings per share were up 33%. In Canada, base earnings improved 8% from last year with solid business results, continued strong trading gains and a lower effective tax rate this quarter. In the U.S., after excluding $30 million from – in Q2 2019 from the sold individual markets business, base earnings were up 16% year-over-year. Underlying business growth was solid at Empower with participant growth of 5%. Improvement in Putnam's results was due to unrealized seed capital gains, reversing most of the mark-to-market losses seen in Q1, and also from Putnam's continued focus on operating expense discipline. In Europe, base earnings were up 15% as investment results improved considerably from last year, when the U.K. had experienced sizable retail property losses. Insurance experience in Europe, including morbidity, also improved from last year. Capital and risk solutions again saw very strong year-over-year growth, particularly in longevity reinsurance solutions. Base earnings were up 63%, reflecting the contribution of significant longevity new business written over the past year plus new business gains of $4 million recorded this quarter compared to a new business strain of $36 million last year. Overall, base earnings have been very resilient, notwithstanding the COVID-19 environment, with good underlying operating performance, including strong investment results, expense disciplines and growth in all segments, particularly reinsurance. Turning to Slide 14. The table on this slide is a reconciliation of base to net earnings. We have shown both Q1 and Q2 to highlight some of the market impacts across the 2 quarters. Base earnings have improved since Q1, largely due to seed capital gains, lower new business strain and strong investment results. I'd also like to highlight a couple of points on the excluded items. On actuarial assumption changes, we saw a full reversal of the Q1 equity market-based assumptions in Canadian individual insurance along with other experience-related assumption updates, which I'll cover shortly. For other market-related impacts, those that are tied more closely to the quarter-end market level, these mostly reversed, where certain items like the impact of hedging effectiveness or U.K. property value declines in Q1 did not reverse. Please turn to Slide 15. This table shows the segment and total Lifeco net earnings results from a source of earnings perspective. Adjustments to get base earnings are footnoted and the SOE categories above the line are shown pretax. Expected profit would level year-over-year. As a reminder, we reset expected profit at the beginning of each quarter, with starting market levels being one of the key inputs. We began Q2 at a fairly low market point, which dampens expected profit, but then we recorded experience gains in fee income as markets recovered sharply during the quarter. I'd also note, Q2 2019 included $23 million of expected profit from the sold U.S. individual markets business. New business strain was typical of recent years' averages. Experience gains and losses and the assumption changes contributed positively in the quarter, and I'll cover both in more detail on the next slide. Earnings on surplus contributed $102 million on the strength of seed capital gains in Canada and Putnam totaling $45 million, and realized gains on the trading of assets backing surplus of $55 million. The effective tax rate on shareholder earnings was 9% this quarter, generally reflecting jurisdictional mix of income as well as changes in certain income tax estimates in Canada. Please turn to Slide 16. These tables expand on the experience results as well as the management actions and changes in assumptions to highlight various items in the quarter, again on a pretax basis. Starting with the experience results, yield enhancement continued to contribute positively. The widening spreads referenced on the Q1 call provided attractive opportunities, particularly early in the quarter, and equity release mortgages continued to contribute. The market-related impact on liabilities includes the impact of market recoveries on the value of segregated fund and variable annuity guarantees, net of related hedges, and includes the legacy blocks in Irish Life and Reinsurance. This is largely a result of remeasuring the liabilities using the market level and interest rates at the end of the quarter. Experience losses also include some hedging effectiveness on our GMWB products this quarter, but these were at much lower levels than had been seen in Q1. I noted the fee income experience gained earlier as the market recovery lifted AUM. I'd also call out that there were a nonmaterial combined net impact of mortality, longevity and morbidity. In many cases, it's difficult to determine what is COVID related versus other various factors, but we do benefit from a diversified book of business. As Paul noted, the sharp reduction in certain claim types, such as routine dental, does have a knock-on impact on processing fees and expense recoveries, particularly for administrative services-only contracts. Credit-related impacts were modest this quarter, primarily arising from bond downgrades and mainland Europe. Looking at the actuarial assumption changes on the right, I'll call out the Canada equity assumption, which was a positive $134 million pretax this quarter, fully reversing the negative in Q1. Also in Canada this quarter, we lowered our future real estate growth assumptions, which was a negative impact of $45 million pretax. You can also see the net positive results of other experience updates recognized in the period, with the impact of assumption changes for longevity partially offset by those for disability. Please turn to Slide 17. The Q2 book value per share of $21.98 was up 5% year-over-year, but down 2% from Q1. The improved contribution from retained earnings this quarter was more than offset by currency translation and pension plan remeasurements, both recorded in OCI. The LICAT ratio at Canada Life remained steady, down 1% from Q1, with strong retained earnings offset by new business requirements, particularly in reinsurance and currency translation. Given the LICAT design, the market impacts were again very modest. We have added new LICAT sensitivities into our MD&A this quarter to help in estimating these impacts going forward. Lifeco cash rose to $1.7 billion, with additional dividends in the U.S. from GWLA, a Great-West Life annuity, our U.S. insurance company, plus a $600 million 10-year debenture issue in May in anticipation of refinancing and upcoming maturity this month. Note that neither the $500 million August maturity nor the additional $500 million of 30-year debentures issued in July are included in this number. Overall, we remain well positioned from a capital and cash standpoint. That concludes my formal remarks. Back to you, Paul.
Paul Mahon: Thanks, Garry. I'll now ask you to turn to Slide 18, where we'll briefly review our GLC Asset Management Limited transaction announced yesterday. So as you know, Lifeco reached an agreement to sell our Canadian Asset management subsidiary, GLC Asset Management Group Limited, to Mackenzie Financial. This deal leverages common ownership and already strong collaboration between our organizations while advancing our efforts to improve and accelerate Canada Life's wealth offerings and business. As background, we believe successful wealth managers need to control their product shelf and customer solutions. But they also need access to asset managers with consistent high-performance out scale mandates and product innovation and breadth. By combining GLC with Mackenzie, Canada Life will have access to an asset manager with these strengths and will be able to focus its efforts on delivering high-quality wealth solutions to individual and group customers and distribution channels. Lifeco will receive net cash consideration of CAD 145 million and will assume fund management responsibility for the Quadrus Group of funds. For this reason, Canada Life is currently in the process of establishing a new fund management company. We expect the transaction to close and the new fund management company to begin operations in Q4 2020, subject to regulatory approval. Under Canada Life's new fund management company, we'll have greater control of product and pricing while leveraging Mackenzie's asset management and fund administration capabilities. Our goal is to strengthen our overall wealth offering for our customers going forward. Finally, I'd note that earnings impacts will be different between Lifeco and IGM because of synergies and other accounting considerations. Lifeco expects to record a gain on sale upon closing, and the ongoing earnings impact to Lifeco is expected to be a decrease in the single-digit dollar millions range. Moving to Slide 19, we'll briefly review Empower's acquisition of Personal Capital. As noted on our June analyst call unveiling this deal, the acquisition of Personal Capital aligns with our strategic growth objectives for Empower. Empower has grown to become the second largest defined contribution record keeper in the U.S., with $667 billion of assets under administration and 9.7 million participants. As you recall, we've also been building out our IRA business. Bringing together these highly complementary businesses supports our long-term growth objectives in the U.S.. On its own, personal capital is a compelling hybrid wealth management model that can create shareholder value. Working with Empower, we believe the addition of Personal Capital will accelerate our IRA rollover business and increase our capture of participants' out-of-plan assets. In summary, the transaction will position Empower with a new standalone high-growth platform. It will accelerate Empower's growth plans in defined contribution focused retail advice and wealth management, and it will enhance Empower's already successful DC recordkeeping business. The acquisition includes upfront consideration of USD 825 million and a deferred consideration of up to USD 175 million, subject to achievement of target net new asset growth objectives. Beyond this transaction, Empower continues to be well positioned to participate in consolidation of the U.S. DC record-keeping space. Finally, on Slide 20, we'll take a look at what's ahead. Before we open the line to your questions, I'd like to note that while some countries and economies have begun to reopen, we recognize there's uncertainty ahead as the pandemic is evolving day-to-day. For that reason, we continue to put the safety and security of our employees, advisers and customers first as jurisdictions change or enact new pandemic measures. It's through our intense focus on leveraging digital tools and technology that we can continue to support and improve customer and business outcomes, even while employees work from home. Our digital footprint will continue to grow and adapt, not just to fit our customers' changing needs, but the changing times that we live in. We remain laser-focused on advancing our strategic priorities in Canada, the U.S. and Europe. As I mentioned earlier, while the COVID-19 environment presents challenges, it can also present attractive acquisition opportunities. As such, we remain actively engaged in assessing opportunities to scale and extend our businesses. In closing, Lifeco remains well positioned to fuel business growth and shareholder value creation through differentiation and disciplined deployment of capital while responding to the challenges presented by the pandemic. With that, I'll ask the operator to please go ahead and open the line to questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Steve Theriault of Eight Capital. Please go ahead.
Steve Theriault: Thanks very much. For starters, I was – want to ask a question on Canada. In the materials, you talked about premium reductions being phased out in July. So just on deferrals, how smoothly has that gone? Can you talk about any trends in elapsation? And is there any – is there deferrals into August and beyond? Like how much – to what extent there's been extensions?
Paul Mahon: Yes. Thanks, Steve. I'm going to actually turn that one over to Jeff Macoun to respond. Jeff?
Jeff Macoun: Great. Thanks, Paul. Thank you for the question, Steve. A couple of things in there. How has it gone? As Paul indicated, the deferrals stopped in June. And we'll continue to monitor the situation, but we do see dental office, paramedical services opening up. And so we'll continue to monitor it as we move through the fall here. If things change, of course, we will react and proact to that. It's gone very well with customers and working with advisers across Canada. Surprisingly, we've seen very little reduction in terms of participants across Canada with plan members and the terminations have – with clients have been lot less than we expected. So overall, it's gone well, and we'll continue to monitor the situation.
Steve Theriault: Okay. And then the – I want to ask a question on Europe as well. Can you just give a little bit of detail around the elevated strain in Europe and the outlook for the second half? Meaning you put some measures in place to moderate strain in half 2? Or is it going to take a little bit longer given the environment?
Paul Mahon: I'll first refer that one on to Garry because, as you know, Steve, sometimes the strain we take on is because there's a great business opportunity that has a bit of strain early on in the transaction, but is obviously ultimately going to create value long term. So there's – so we need to differentiate between that sometimes when we're taking on business of that nature. Garry, maybe you can respond to that, and you might refer it on to David Harney after that.
Garry MacNicholas: Sure. Yes, when it comes to Europe, I just note a couple of things. First off, as Paul was mentioning, a fair chunk of the strain in Europe would come from some of the businesses at Irish Life where there are more investment contracts done. So you can't defer the upfront acquisition expenses the way you can on some of the insurance contracts. So like at Empower, those tend to have a bit of strain associated with them, and that's what we call good strain because obviously, we're pricing and writing good business there. And then the other thing I'd note is that often in the past, we have had new business gains from bulk annuities, particularly U.K. bulk annuities, and we didn't have that. Whereas this quarter last year, we actually had quite significant new business gains in the U.K. And in this quarter, there just weren't any. So there was not an offset. And often in the quarter, we have an offset. That may be why it looked a little higher this quarter, but nothing really unusual.
Paul Mahon: Yes, Steve, I mean we'd almost characterize that – we're getting an echo there. We would characterize that as kind of negative strain when you book an upfront gain on that. So what you're seeing here is the lack of that negative strain offsetting just the natural flow of the business.
Steve Theriault: Okay. And so the bulk annuity sales that were, I guess, lumpy to the downside this quarter, there's no – that will just continue to be the case in sort of normal fashion. There's no sort of indication that the bulk annuity sales will be sustainably low through the pandemic, anything like that?
Paul Mahon: No. As a matter of fact, I'll turn that one to David Harney, who can speak to sort of the activity we're seeing in the bulk annuity space in Europe, and the U.K. in particular. David?
David Harney: Yes. So there was a slowdown in the first 6 months, all right. So we have seen activity pick back up just over the summer. So we expect the second half of the year to be at more normal levels. So it's a good pipeline of business. So it's one case, we actually won in around the start of quarter 2 that was withdrawn because of the virus, and that's come back, and we've won that case again. So we expect to close that in the second half. So that's just a good example of how the market is ticking back up again.
Steve Theriault: That's very helpful. And sorry, just to finish. Are you able to size the gain from the GLC sale?
Paul Mahon: Garry, I'll let you respond to that one.
Garry MacNicholas: Sure. Yes. In terms of – again, we haven't finalized the accounting at this stage. But I'd expect a gain in the ballpark of $100 million. It could be a little more.
Steve Theriault: Would that be after tax?
Garry MacNicholas: Yes.
Steve Theriault: Okay, thank you so much.
Operator: Our next question comes from Meny Grauman of Scotiabank. Please go ahead.
Meny Grauman: Hi, good afternoon. In Q1, you disclosed that the COVID impact on base earnings was $65 million after tax. I'm wondering what the equivalent would be this quarter, if you have that?
Paul Mahon: Yes, Meny, I'll turn that to Garry. As I think he was saying, when you look at some of the mortality, it's hard to unpack how much of shifting changes in mortality is directly related to COVID. But Garry, perhaps that's one example of where it's – to get precise is not that easy. But Garry, I'll let you respond to that.
Garry MacNicholas: Sure. I might – I'd just refer back to Slide 14 when I was going through the presentation. What we tried to do here is it is – as time goes on, in Q1, it was fairly easy to point very directly to the market fallout from COVID in March. It was very clear. As the quarter unfolded, as the next quarter unfolded, you've got all sorts of factors that are driving results. Some are COVID-related. Is the market recovery COVID or not COVID, it's those types. So what we did instead was just trying to – when we did the earnings reconciliation, we just tried to show here is Q1 and Q2 broke into base and non-base and just call out some of the things that move between them. So an example would be we had seed capital losses recorded in Q1, I think in the order of $30 million, say, at Putnam, and these 80% reversed in Q2. So you could call that COVID-related. But we didn't do a tally up and have a COVID slide for that because it was just not possible to really accurately separate the 2 out going forward.
Paul Mahon: Yes. I guess I'd add to that, Garry, that in a lot of ways, because of the market recovery, other aspects of COVID-related challenge, for instance, we referred to the bond portfolio of $18 million, and we referred to a little bit of invested property challenge. Those things were, frankly – a lot of it was broadly offset by the market recovery, but it was really kind of taking back some of the equity market losses, almost mark-to-market losses that we occurred – that incurred in Q1. And so it's hard to measure. It's really kind of getting a sense of what's the momentum here. And the momentum, because of the strong equity market returns, has really been a dampening of any implicit COVID impact in quarter.
Meny Grauman: Fair enough. I guess that's what I'm trying to get at. Just in terms to understand, in part, how the impact of COVID is playing out relative to your expectations? And I guess it would seem that it's playing out better. So I just wanted to confirm that. And then just see if there are any aspects in the business that are actually having a harder time than what you expected.
Paul Mahon: So if you go back to the slides that we laid out on – earlier in the presentation, I think it's 7 and 8, I guess the way I would characterize that, yes, Slide 6,7,8, is that at this stage, I would say the impacts have been a bit more moderate than we would have expected, and to a large extent, again, that we saw the good recovery in equity markets. I think what we found for the most part is that our business model is very resilient. And if you kind of go to thinking about what's happening with the business, we started off with a strong and conservatively managed balance sheet when you think about our invested assets portfolio. And I guess our expectation has always been with the diversification we've got, with the conservatism we've got, there's obviously going to be downside related to economic impacts, but we always believe they'll be moderated because of our kind of our risk stance there. Secondarily, think about the businesses, and as we've outlined, we're starting to see reasonable recoveries in sales activities in markets where some of the limitations on physical distancing have been lifted, so we like the underlying kind of trajectory of the businesses, but we can't really estimate what will happen in the external environment. Right now, to date, the external environment, we've seen the moderating impact of equity markets coming back. But you can't project what will happen with equity markets into future quarters. But I would say, overall, we're seeing strength of a resilient business model, strength of a conservative invested asset portfolio. And that, in part, has kind of moderated the downside for us to date. But you can't – you don't know what will happen with the economy going forward.
Meny Grauman: Thank you very much.
Operator: Our next question comes from Gabriel Dechaine of National Bank Financial. Please go ahead.
Gabriel Dechaine: All right, good morning. Just a – good afternoon, sorry. A quick one on the premium refunds and group. Is that part of the fee non-market negative experience in – on that source of the running slide, the $42 million after tax? Or is that something else?
Paul Mahon: Yes. In terms of geography of that, Gabriel, Garry made reference to ASO fees. And so bottom line is we – the way we receive fees on that is based on actual transactions. So it would be the number of dental transactions. People weren't going to the dentist, there was no transaction, so no fees. And so you get a drag on that. There can be a bit of a drag on your overhead as well because that obviously covers the cost of overhead. So that's the geography of that. Anything I've missed on that, Garry?
Garry MacNicholas: No. I think the premium refunds weren't part of that line. That's more of the other factors. Yes.
Gabriel Dechaine: So that's a group item. And you talk about it in the MD&A. And you're also saying that starting to – that will be much, much lower, all things – all else equal going forward?
Garry MacNicholas: Yes. I think the volumes, the transaction volumes are picking up. So we'd expect the fees will pick up with the volumes, yes.
Gabriel Dechaine: Okay. Can you quantify any of the morbidity in Canadian group experience this quarter?
Paul Mahon: Perhaps, Garry, you can start off with the quantification. And then I think it would be good if Jeff provided some insight into the action plan there on group LTV.
Gabriel Dechaine: And while we're getting other people to talk about it, maybe not just what happened in the quarter, but in the MD&A, you're talking about physical distancing and self-isolation requirements, da, da, da. It sounds like mental health, the way I read it. And that's something that you're assessing on how to price on renewals as experience emergences. Can you – what happened in the quarter and what the outlook is for this particular issue?
Paul Mahon: Okay. Garry, why don't you start off with the quantification, and then Jeff can speak to what we're doing from an operational perspective.
Garry MacNicholas: Sure. So the overall morbidity and longevity and mortality, which, as we noted earlier, largely nets out, the Canada morbidity, so across all the various lines of business, that was modest. I think it's minus 14, so it's quite modest as a contributor to that, pluses and minus within that.
Paul Mahon: Jeff, do you want to speak to the actions we're taking and a bit of insight into kind of the way we're – whether it's on the pricing or on the claims management side?
Jeff Macoun: Perfect. Yes. Thank you, Paul. So as you're aware that this is a 1-year renewable business. So we took action in January, a rate adjustment that is flowing through the system. And in this business, it takes about a year to get through the system. So we're halfway through there. And a bulk of our renewals would be at the start of the year. So we're very pleased with that. So that we'll start to see some dividends there. We took some further action in the mid part of the year in June on additional pricing actions to get at this. So that will also begin to flow through. The other action that we took from a management perspective is that we've increased our disability management complement significantly. We began doing that early in the year. So we are at full complement now, and we've added some extra specialization to get that, as you referenced on the mental health side. So those are 2 key issues that we've been dealing with, and we feel very comfortable will help us to get ahead of the disability situation.
Gabriel Dechaine: Okay. My last one is on the management action. It looks like you got $65 million post-tax reserve release from updated equity and real estate return assumptions in Canada. So the real estate return assumptions were lowered, and there was a $33 million strengthening, but a $90 million release from equity market return assumptions. And I'm just reading the MD&A, and it sounds like in-quarter equity market recoveries and you saw that happen and you released reserves. The way I look at reserve releases or assumption changes is those are for long term assumptions, not something that would have happened in the quarter that would have spurred that. Is that – is something else going on?
Garry MacNicholas: It's Garry. Paul, do you want me to take that one? Yes, I'll take that. So yes, in terms of the – you're right, we did both. So the $90 million, the best way to think of that is a reversal of what occurred in Q1 where our assumptions were also impacted by the maximums under the Canadian institute actuary standards. So you've got the interaction of the standards with our assumptions as well, which is why it went down sharply in Q1 and then back up sharply in Q2. That's what was happening on the equity side, whereas the real estate side was just a lower growth assumption going forward.
Gabriel Dechaine: So you're going to have a reserve assumption, an assumption change just on one quarter's equity market moves. Granted, big ones, but it just seems at odds with how I understood it worked.
Garry MacNicholas: Yes. Typically, there is a potential for buffering, and that's over the last number of years, you've had a bit of that, which has really moderated that. But as you run-up against the thresholds in the actuarial standards, you tend to get more of a straight to the bottom line to the assumptions both ways up and they don't have as much buffering.
Gabriel Dechaine: I need a follow-up on that one. Thanks.
Garry MacNicholas: Okay, sure.
Operator: Our next question comes from Doug Young of Desjardin. Please go ahead.
Doug Young: Hi, good afternoon.Garry, just maybe kind of sticking with you and on that top rate of the – I think it was $98 million that was released related to equity markets and management actions and assumption changes. Because I was of the view that you did kind of the corridor approach, and so you always had a buffer and so you didn't mark-to-market, and I assume this is for equities that are backing long-term liabilities. But it doesn't seem like you have that buffer anymore. So is this just essentially the mark-to-market of that portfolio, as we would see with some of the other insurers? And is that what we should expect going forward?
Paul Mahon: Garry, you might as well get it right about that one.
Garry MacNicholas: Yes. I was just going to say it's a follow-on. And that's really what I was trying to provide earlier. It is very similar to that corridor approach that some have used. However, when you get up against the actuarial threshold, you don't have room in your "corridor" anymore. And so it is more of a mark-to-market. So you don't have that buffering, and that's the situation we found ourselves in, in Q1 and Q2. So really, I think going forward, to the extent there's continued recoveries, then that will likely be buffered. And – but it was really the very sharp drop in Q1 and the sharp recovery which made it move more like a mark-to-market. That's a good description.
Doug Young: So you could have reset the corridor, but you chose not to. Is that just because you've – like why wouldn't you have reset the corridor and reset the buffer? Or is that not the way it works?
Garry MacNicholas: That's not the way we've gone about it in the past. It wouldn't have been consistent with how we've gone about it in the past. So we stayed with that. It's just the way we hadn't in the past, bumped up against the actuarial threshold the same way.
Doug Young: Okay. And then just on the credit side, you quote in Slide 16 the $14 million after-tax impact. But when I look at the MD&A on Page 14, you talked about $27 million after-tax impact from credit. So I'm just wondering what the difference is between the 2 numbers. Like what's the $14 million and the $27 million?
Garry MacNicholas: The – sorry, you want me to carry on that, Paul?
Paul Mahon: Yes, please.
Garry MacNicholas: Yes, in terms of the – I think it will depend on what we've put in which category between the 2 in terms of what we put in. The one thing I would note about – and it's probably – I don't know if it's all of the difference, but I imagine it's the majority of the differences. We do assume a certain amount of credit activity in our expected profit. In other words, we assume some downgrades, for example, in our expected profit. And so in the experience gains, we're talking about credit impacts above and beyond what we've already "put" in expected profits. And so where the MD&A, I believe we're talking about the absolute quantity in the quarter. That's going to be a difference there.
Doug Young: Okay. Okay. That makes sense because you had the release of your 8 asset default provision and then the net impact would go through, like your best estimate would go through. Your PfAD would go through expected profit and then your best estimate would go through experience, is that right?
Garry MacNicholas: Yes. The – it's along those lines. In other words, you anticipate some downgrades are already baked into your expected profit. If you don't get any, you have a gain. And if you have exactly that amount, it's neutral. And if you have more downgrades, then the extra downgrades or what is in the experience loss line.
Doug Young: Okay. I think I got that. And then just lastly, on the LICAT, I just want to make sure I understand this because thank you very much for giving the sensitivities to equity markets and interest rates. But you also talked about the shift in the rate scenario, and then I think that, that shift in that scenario would have impacted the ratio by 5.5 points. But that's actually going to be phased in, I think, over 6 quarters. Is that the way – so there's that smoothing mechanism coming in. So if it was an immediate impact, it would be 5.5 points, but there is that smoothing mechanism at points that's going to put that through, unless the rate scenario goes back to what it was before. Do I have that roughly right?
Garry MacNicholas: I'd just point out one thing. We didn't actually have any shift in the scenarios this quarter. So this is just flagging, and I believe some of our major peers have also flagged the same issue that can arise with LICAT, where you can get a bit of a discontinuity. Obviously recognized that this year and is put in this smoothing. And so we're just saying that if it did happen to us, then that would be the impact, and it would be smoothed over 6 quarters.
Doug Young: Okay. Great. Thank you very much.
Garry MacNicholas: Thanks, Doug.
Operator: Our next question comes from Paul Holden of CIBC. Please go ahead.
Paul Holden: Thank you. So Paul, you made a few comments regarding credit risk in your prepared remarks, which were helpful. However, when I look at the credit rating agencies and the number of downgrades as well as credit spreads, those kind of factors point to me that credit risk, if anything, anticipating that your prepared remarks were relatively cautious. And I guess some unknowns with COVID. But just wondering, are you seeing anything in particular in credit trends that concerns you? Or why the cautious tone?
Paul Mahon: Well, I think you're saying that I was being maybe positive about it as opposed to cautious. Our views are that we do believe that we're in the middle of this credit cycle, and there's more to come, and we recognize that. I would say my more positive stats would be the fact that we do have a high-quality book, credit book in terms of invested assets. Significant quality, significant percentage, A-rated or stronger. But that said, we can't predict or project how long the credit cycle will play out. So I would say that we remain diligent on ensuring that we manage our credit. But at the same time, we're comfortable and confident that we've done the necessary derisking and taken actions to limit our exposures there. Raman, anything you'd like to add to that?
Raman Srivastava: Sure. Yes. I'd just add, I guess, you're right, the market has recovered quite a bit, spreads are in. Obviously, the equity has done well. I think part of the reason we're cautious, if you look at the agencies, by and large, most sectors remain on negative watch. So we do expect more downgrades. And as Paul said, there is uncertainty as fiscal stimulus comes off as to what the response will be in the market. So we tend just to view it cautiously. If you look at our exposure, as Paul was mentioning, where it begins to bite on the downgrade side is when you cross into high yield. And given that we have very little in below investment-grade and also very little in the BBB- category, that should buffer us. But those are the reasons to be cautious, just the amount of sectors on negative watch and the uncertainty as fiscal stimulus fades.
Paul Mahon: Yes. Paul, I guess maybe to put it another way, you saw what we experienced in quarter relative to our current invested assets book, and it was relatively modest. We don't see anything startling on the horizon, but we can't speak to what the future holds. So I think we remain cautious, but we also remain reasonably optimistic because we have a very conservatively invested asset portfolio. So it's kind of – I think we're better to remain cautious and make sure that we're vigilant in managing and monitoring at a very close – in a very close way.
Paul Holden: Okay. That's helpful. Second question is also related to investment risk, but maybe on your real estate and mortgage holdings. So you provided some useful details on payment deferrals. But just wondering how you're thinking about the potential for revaluation risk. Obviously, you updated your return assumptions in the quarter. Generally, real estate portfolios are getting marked down. Like how are you thinking about that, whether you categorize it as impairment or simply revaluation risk?
Paul Mahon: I'll let Raman speak to that because that's obviously something that we're thinking about. In particular, you'll be aware that when you look at our real estate funds in Canada, we've put a stop on any cash flows in or out of those with that very purpose because it's hard to lock down on values at this point in time. But Raman, maybe you can provide a bit more color on our perspectives there.
Raman Srivastava: Sure. And I guess maybe echoing a little bit of the same themes that we were mentioning around credit viscerally. And we've seen stability in certain sectors of the property market. I think cross-regionally, if you look at some of the detail in the back of the slides that we've put in, what we have seen is more stability, say, for example, in the industrial space or in the office space or multifamily versus retail. We do recognize that it's early. And like I was saying before, as stimulus comes off, we have to be cognizant of the risk there. And I guess the other thing I'd say is within retail, obviously, it's not all the same. So if you look at some of the detail, again, we have in the very, very back which breaks out our retail exposure in more detail, we've definitely seen more stability in areas like distribution warehouses or grocery-anchored retail versus department stores or shopping malls. So we take some comfort in the fact that our exposure in department stores and shopping malls is lower, and particularly in the mortgage side, in the pre-financial crisis, we've highlighted that in the past. That's where we've had some issues in the past. That's down to about $99 million today, that exposure. So again, just cautious on the uncertainty that exists in this space going forward. But again, given where we're starting from, we think the risks are manageable.
Paul Mahon: Yes. I think, Raman, I might put it that we're cautious on the external environment because we don't know exactly what – how this will play out. But we feel confident in the steps we've taken to derisk the portfolio since the last – since the 2008 financial crisis, including shifting to things like warehouse and distribution centers, more needs-based retail as opposed to traditional shopping malls. So we like what we've done internally, and we remain cautious, cautiously optimistic, I'll say, not knowing exactly where the external environment will go.
Paul Holden: Okay. One more question, if that's okay. So I guess the GLC Asset Management transaction makes a lot of sense to me. Just kind of curious on the formation of the new Canada Life investment management division. What's kind of the real thinking behind that if you're going to sell off GLC?
Paul Mahon: Yes. I'll provide a bit of context, but I'll turn it over to Jeff. As we think about assets – as we think about wealth management and asset management and how they play together, in the context of wealth management, it's key for a wealth manager to be intimately engaged with customers and advisers who need – understanding what are their needs, what are the product solutions they need, whether it's portfolio solutions and the like. So that's critically important that we have control and an understanding of that. But then what we need is we need strengths of inputs into those wealth management solutions. So we want to have partnerships and relationships with strong, sustainable and competitive asset managers who will provide those inputs. So the creation of a fund management complex positions us with all the tools and capabilities to build solutions. The partnership and the relationship and the move of putting GLC – combining GLC with Mackenzie, creates a stronger asset management partner to provide us with inputs with higher scale, more diversified, and therefore, you have greater opportunities for performance and at-scale mandates. So we like the idea of controlling the shelf and the solutions for customers, but then have a real strong partnership with a highly competitive asset manager. That's kind of the backdrop. Perhaps Jeff can provide a bit of context as to how this is kind of playing out and what we're – how – what the market reaction has been.
Jeff Macoun: Thanks, Paul. Perhaps a couple of comments perhaps to – on top of what you said. First of all, I participated in a number of calls, both last night with wholesale and today, and the reaction from advisers and our wholesalers has been overwhelmingly positive. This really speaks to our ability to strengthen our wealth strategy in Canada, as Paul mentioned. It really allows us to focus and grow our wealth management business, which is key to our overall strategy in Canada. But in addition to this, I would say, it really allows us to sharpen our focus on developing best-in-class product solutions. And at the same time, it gives us access to industry-leading investment management capabilities, as Paul has mentioned, and support our strong distribution channels, both on individual and group business. So we're very bullish about this. It really gives us best-of-breed in both areas and allows us to take charge and ownership on products and innovation and pricing in a very fast market.
Paul Holden: Thank you. That’s it for me. Thank you.
Paul Mahon: Thanks, Paul.
Operator: Our next question comes from Tom MacKinnon of BMO Capital. Please go ahead.
Tom MacKinnon: Yes, thanks very much. Good afternoon. I noticed an investment gain and a couple yields on – earnings on surplus vehicles generally higher than what I would have thought. In terms of yield enhancement in [indiscernible] quarter to really have improvement . Did you specifically term out, or maybe a little bit of detail there. And with the expected [indiscernible] probably higher than normal gains in the quarter as a result of movements in spreads? So I think a little bit of color there. And if you could close by saying – how should we be thinking about both yield enhancements and earnings on going forward as well?
Paul Mahon: Okay. I'll let Garry start off on a bit of context around the earnings on surplus and yield. And he might turn to Raman to provide a bit of insight into kind of the geography of assets, but I'll let Garry start off on that one. Garry?
Garry MacNicholas: Sure. Yes. Maybe I'll start with the surplus gains. They were a little higher this quarter than they have been in a number of quarters in the past. And part of that was opportunities arising in response to sharply lower interest rates is creating greater unrealized gains, that we were able to realize those gains. So part of that opportunity going forward will depend on the direction of interest rates, but that was what was driving that this quarter in particular. And I think the number was in the – I think I mentioned it was 50-plus range, and that is a bit higher than typical. On the yield enhancement side, the number of just over $100 million pretax number, not that unusual in a historical context. I think $80 million to $100 million is typical. It does vary quite a bit by quarter-to-quarter, depending on the opportunities. But that's not a – I wouldn't have said it was an unusual amount. Most of it was in Canada this time around. And I think a couple of things, maybe this is where Raman can add color. I think we had some attractive yields early in the quarter because spreads are quite wide. And then we did – notwithstanding some disruption to the origination of equity release mortgages from our U.K. office, we were able to yield enhance some of our assets and take advantage of attractive spreads on equity lease mortgages as well. So maybe, is it Raman has something to add to that?
Raman Srivastava: Yes, you really covered it well, Garry. I was going to mention the equity release. And I guess the only thing I would add on the on the bond side, if you remember, Tom, back – especially early in the quarter, we saw just a tremendous amount of issuance after the Fed and other central banks came in and provided some comfort to the market. And especially at the beginning, in those new issues, there was quite a bit of concession and spreads were still quite wide at that time. So we were able to benefit from some of those assets that came to market. And I think that was part of what fueled the yield enhancements as well.
Tom MacKinnon: Okay. If I could just squeeze one more in. With respect to the bulk annuity market in the U.K., to what extent is this market impacted by low rates? And do low rates impact this? Are they impacted in terms of sales or in terms of margin? Any color around that.
Paul Mahon: I think that's a good question for David Harney to start with. And perhaps, Arshil may add a little color if David likes. David?
David Harney: Yes. Well, I think rates have been low in Europe for a while now, albeit just they'll come in a little bit lower. It really doesn't have that much impact because both of the bulk annuity market, it's transfer of liabilities from pension schemes, and those pension schemes themselves would be backing those liabilities, which we're thinking of that as thought. As interest rates come down, the pension schemes put the assets back into those liabilities that increasing and it's those assets that they would be using share to buy our bulks, so we'll see. So it is that really lower rates bringing on to impact the market.
Tom MacKinnon: Would they impact the amount of capital we have to hold against them?
David Harney: The capital may be a little bit higher, all right, but then that would go back into the pricing. So the capital is typically about 10% of purchase price. And that – maybe that's gone up a little bit, but it hasn't moved materially.
Tom MacKinnon: Okay, thanks for that. 
Paul Mahon: Thanks, Tom.
Operator: Our next question comes from Mario Mendonca of TD Securities. Please go ahead.
Mario Mendonca: Good afternoon. I'll try to be quick with some of these. The gain on the sale of GLC. Garry, you referred to $100 million after tax. But I'd be correct in saying that, that will be treated as non-base earnings?
Garry MacNicholas: Correct.
Mario Mendonca: And then industrial lines talk about a potential URR charge, for a change in URR, some reduction from 3.05% in 2021. You share that view that we're likely going to see some kind of URR charge? And what quarter do you figure we'll see that reported? In 2021 or in 2020?
Paul Mahon: Garry, do you have a perspective on that?
Garry MacNicholas: Yes. I mean we have heard there are some discussions about the actuarial standard board has the process for deliberating on URR changes. And I have heard that there are discussions underway. I understand that if it does go ahead, it would be 2021, not 2020. And typically, those type of changes are effective on October 15 and that's so that they fit in line for year-ends for both bank-owned insurers and for life insurers. And so typically, companies have the ability to adopt a lease. So if something came in, in 2021, and I think that's an if depending on the actuarial standards board process, then – but if it does come in, then I certainly wouldn't bet against it. Then I think it would be in Q3 next year is likely when we'd recognize it.
Mario Mendonca: Okay. Real quickly, on the sensitivity to markets. I think you've disclosed that a 20% decline in markets would impact your earnings by $163 million after tax. That was the last quarter's MD&A. What I'm interested in understanding is this quarter, the effective market – the amount treated as noncore was about $35 million. So what I'm trying to understand is that $163 million – is that a good proxy for what would be treated as non base? Or is that the total impact of equity markets in your earnings?
Paul Mahon: Garry, to you.
Garry MacNicholas: I think a lot of the impacts are going to be in the non base. There's not much that picked up through that. And the disclosure, the sensitivity exposures are the point in time. And I think those are almost all non base. The only one I'm hesitating on off the top of my head is the seed capital. But other than that, all the rest would be the typical things you've seen going through the non-base.
Mario Mendonca: Okay, well that's what sort of threw me off a little bit this quarter, because based on the sensitivity disclosed, you would have expected a much greater gain in your like non base gains this quarter because the equity [indiscernible] a level about 16%. So I guess what I'm getting at is why was the non base gain of $35 million so modest given what happened with equity markets?
Garry MacNicholas: I just – I would note that if you look at the $35 million, you're not picking up the updated equity return assumptions that are also driven from the market. And that's – we talked about earlier on the call with the equity, the $98 million on the equity. That's probably the difference.
Mario Mendonca: Yes, I didn't see that together. And then just a final question. It looks like the company is building up quite a lot of assets at the holdco level, perhaps as much as $1.7 billion now. I know that there's a maturity coming up, but there's also another issue coming up. So what I'm getting at is, why is the company building up so much cash up at the holdco level? Is it a defensive posture? Is it offensive? Is there some change in your thinking that's causing you to build with that much cash at the holdco?
Paul Mahon: Garry, I'll start on that one. So if you look at our posture in quarter, we actually have been proactive on M&A, on repositioning the book on strengthening the portfolio. So we announced the acquisition of Personal Capital. Obviously, we're doing the GLC transaction, and we'll be recovering some capital or will be having a gain there. But suffice it to say, we like a strong capital position, I guess in part because you want to have a degree of downside protection, but we also remain active looking at opportunities to scale and extend our businesses. As we've said in the past, we've seen great performance at Putnam from the standpoint of delivering for customers. We're seeing great discipline with that management team in terms of getting that cost. But we also believe that scaling that business through M&A can unlock a lot of value. We look to Empower now. We've built a very strong business, a strong and scale business. We're going to couple it with Empower. And then we look to the future, and we say we still fundamentally believe that the 401 recordkeeping or the DC recordkeeping market will, well, ultimately, it's going to consolidate. And we believe that Empower should, can and should participate in that consolidation. And again, we look to Europe, and we look to opportunities to deploy capital either by scaling some of those businesses. We're extending some of those businesses. We've got a great retirement led wealth platform, but you could really benefit from having a stake in a wealth manager in the U.K. So we've got a team that's very active looking at opportunities. Because of the dislocation in the market, some things slow down, but sometimes opportunities arise as well. So I think having lots of capacity on hand is a wise thing to do in this environment.
Garry MacNicholas: And Paul, I'd just add that part of it was taking advantage of very attractive conditions for us to write the 30-year debenture at a very attractive holding coupon. Just right around the 3% mark for 30-year senior debt was a very attractive opportunity to position us for these strategies going forward.
Mario Mendonca: Okay. That’s all. Thank you.
Operator: [Operator Instructions] Our next question comes from Darko Mihelic of RBC Capital Markets. Please go ahead.
Darko Mihelic: Hi, thank you. All my questions relate to the capital risk solutions group, and I might refer to some of the supplemental slides just to get a better idea of what's happening here. The strong growth that we saw year-over-year make a number of references to business growth. So a couple of questions around that. First, within the supplemental, the only place that I can see strong growth is in risk-based revenue premiums. So the first question is, when I look at this business, and I do apologize, I don't have a great history with this business, I've only got 3 quarters worth of earnings, so I'm trying to better calibrate my model with respect to the expected profits and the impact of new business. So when I look at risk-based revenue premiums, can you give me an idea of what the trend is there? Should I be driving or should I be having a follow-on impact on the expected profit on in-force for this business segment. And the second question is, if we have such strong business growth, why is the impact of new business so small? It was only $4 million positive this quarter and negative $2 million last quarter. That doesn't necessarily connect, so maybe you can educate me a little bit on bringing the impact of new business for this business segment.
Paul Mahon: Good question, Darko, and you know what I'll do, I'm going to turn that to – Garry can start off and I think Arshil Jamal can provide some good color on the – it's a diverse – it's a very diversified business with lots of sell segments in it that each have a different earnings trajectory and profit signature. But I'll let Garry start off maybe at a high level and Arshil can add some color. Garry?
Garry MacNicholas: Yes, sure. I'll just make a couple of quick comments. One is – it's really more on the source of earnings side and then our system cover off the business growth. Two things I'd note. One is the new business gain in the quarter is not a particularly good measure of the longer-term contribution of a business. It's very much a one quarter point in time, just as you set up the initial actuarial reserves and whether you've got a little bit of a gain you're expecting upfront or not. What really drives the business, and it's very prudent reinsurance, is the growth in expected profit. So you could have a bit of strain one quarter. And we've had – we had a small gain this quarter. That just really depends on the characteristics of a particular transaction. What we really focus on there for that business and a lot of our business is the growth in expected profit. And that's been very strong in the reinsurance business. I believe it was up 20% year-over-year, but Arshil, you might have more detail there and a little more color.
Arshil Jamal: So focusing on that expected profit number. This quarter, we had CAD 155 million of expected profit. And in the quarter a year ago, the expected profit was $125 million . So we've seen $30 million of expected profit growth year-over-year in this segment. Towards the end of last year, we closed a number of financial solutions transactions, both in the U.S. and in Europe. And then since then, we've been growing our longevity business, and all of that is contributing to that expected profit growth. As Garry indicated, the impact of new business is not really a good measure of the lifetime profitability it just reflects the profit margins on the transaction in period relative to the margins that we put into the reserves. So sometimes that's the negative, like it was a year ago where we had a new business loss. And sometimes, it's a positive like this quarter where we had a small new business gain. But what we're really focused on is driving expected profit growth. I do acknowledge that it is difficult because on those 2 product lines, both the longevity swap line and on the financial solutions line, the premium or the revenue number, the P&L not very representative. So we have very many of our financial solutions transactions where we get very little premium revenue or alternatively, we get a very large premium revenue number with a very small impact on net income. So that is a less useful measure for us. It's included in the formal financial statements, but we typically don't comment on that in our investor material or in the analyst slides. We focus much more on the expected profit.
Darko Mihelic: And similarly then, along those same lines, if I look at Page 65, or supplemental to quarterly information package, when I look at the actual contract liabilities, they're actually down year-over-year. So is there any useful trend analysis that I can use there to help guide me with expected profit as well? Or is that too much currency in there? Or maybe you can just help me understand why the reserves will be lower, significantly lower year-over-year?
Arshil Jamal: Yes. Again, the structured business and the longevity business doesn't generate meaningful reserves, and those are the businesses that are growing. In the past, we've done some longevity transactions with assets, and those transactions are running down. But the new business that we're writing in the other areas is contributing more. So expected profit is going up, but the asset balances are falling as those asset-based longevity transactions continue to pay out over their life as expected.
Darko Mihelic: So is it then that within those insurance contract liabilities, your PfADs are actually growing as a proportion of them? Is that how I should think about that?
Arshil Jamal: Yes, when we track that internally on the longevity swaps, we are seeing material increases to our PfADs in there. So we do track internally lifetime profits. We have not disclosed externally, either for the reinsurance line or for our other lines, PfAD movements from period to period. So we can certainly think about that and other disclosures that might help you model this business a little bit better.
Darko Mihelic: Yes. I guess just to wrap up on this whole segment, I guess we're seeing very strong growth out of it. So the question is, any sort of help on what you're expecting for the back half of this year and into next year from this group would be very helpful. Just trying to model it is proving difficult. And mind, we only had a couple of quarters of doing it, but I'm already sensing that there could be some pretty big swings relative to my expectations.
Paul Mahon: Yes. Darko, I would say this is a business that we like the business. We like its diversification. As you've pointed out, it's harder to get a profit signature here. It's a business that we do see a lot of growth potential in. And what we'll do is we'll take this away and think about what some of the – what's some supporting information we can provide to make it a bit easier. I think it's a good takeaway for us.
Darko Mihelic: Great. Thanks very much. I appreciate that.
Paul Mahon: Thanks, Darko.
Operator: Our next question comes from Scott Chan of Canaccord Genuity. Please go ahead.
Scott Chan: Good afternoon. Paul, just I hopped on late, but my question is on Putnam. Obviously, I'll start reversal on net outflows. What kind of drove the positive net sales? Was it a specific asset class or product that resonated in the quarter? Or was it more the market rebound and the industry fund flows?
Paul Mahon: Yes. You know what, that's – thanks, Scott. I'm going to turn that one over to Bob. Bob Reynolds, who can provide some context around the strong swing in the sales and flows. Bob?
Bob Reynolds: Yes. We had positive flows in all our channels, retail, direct retail business, institutional contribution only. So it was across the board, it was a combination of asset classes. And our – as Paul mentioned earlier, our performance across the board has been strong. So we've been able to take advantage of that. We now have 25, 4 and 5 historical tons as rated by Morningstar. It's a good story and one that we look to keep going.
Paul Mahon: We kind so – so Scott, if you were going to – this is not sort of a single fund where we're seeing take off here. This is fairly diversified across channels and products. There's a fair bit of diversification there. Sorry, I interrupted you. Go ahead, Scott.
Scott Chan: I was going to say like, as you kind of think about modeling out future forecasts and sales, I don't know if you've seen anything quarter-to-date or an operating to help us kind of gauge on the retail institutional side just what it's about.
Paul Mahon: Yes. There's a degree of – if you're always challenged to sort of forecast when you see the level of equity market and volatility that we've seen over the last 6 months. So the reality is, I'll let Bob add to this, but I think we like our momentum. We like the momentum we see in terms of flows and sales that are happening on the retail side. We like the momentum that we're seeing on the institutional side. We've had strong institutional flows quarter after quarter. So we like the momentum, but it's hard to predict what will happen with markets and whether we'll see any further dislocation. Anything else you'd add on that, Bob?
Bob Reynolds: Yes. I would say when you look at the first half of the year, obviously, with the sell-off in the first quarter, that hurt from an asset standpoint, but most of the redemptions in short duration, ultra-short duration income, which would have a liquidity problem in mid- to late March. And when the Fed stepped up, it really bought that asset category. So again, throughout the year, we've had relatively very good flows. And except for that one point, it was predominantly one asset class.
Scott Chan: Got it. Very helpful. Thank you very much.
Paul Mahon: Good. Thank you very much, Scott.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Mahon for any closing remarks.
Paul Mahon: Thank you very much, Ariel. I'd like to thank everyone for joining today's call. And as always, please feel free to reach out for our Investor Relations team for any follow-up questions. And I will wish all of you well as we manage through an unusual summer, and hopefully, you can get some time with family, and we'll talk to you post our Q3 quarter end. Thank you.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.